Operator: Hello. My name is Jamie, and I will be your operator this morning. I would like to welcome everyone to the Garrett Motion Fourth Quarter and Full Year 2025 Financial Results Conference Call. This call is being recorded, and a replay will be available later today. After the company's [indiscernible] question-and-answer session. At this time, I would like to turn the call over to Cyril Grandjean, Garrett's Vice President, Investor Relations and Treasurer.
Cyril Grandjean: Thank you, Jamie, and good day, everyone. We appreciate you joining us to review Garrett Motion's Fourth quarter and Full Year 2025 Results. Our presentation and press release are available on the Investor Relations section of our website. Today's discussion includes forward-looking statements that involve risks and uncertainties. Please refer to our SEC filings, including our most recent annual report on Form 10-K for a discussion of factors that could cause our results to differ materially from these forward-looking statements. Today's presentation also includes certain non-GAAP metrics, which we use to help describe how we manage and operate our business. Please review the disclaimers on Slide 2 of our presentation as the content of our call will be governed by this language. With me today are Olivier Rabiller, President and CEO, and Sean Deason, Senior Vice President and CFO. Olivier will begin with highlights from another year of strong performance and strategic acceleration. Sean will then review our 2025 financial results and '26 outlook. With that, I'll turn it over to Olivier.
Olivier Rabiller: Thank you, Cyril. Good morning, everyone, and welcome. 2025 was another fantastic year for Garrett. We delivered strong operational performance in a complex industry environment, and at the same time, advance our strategy, increasing share of demand, growing our portfolio, expanding margin and securing key awards and partnership across turbo, zero-emission technologies and industrial application. In Q4, net sales were $891 million and adjusted EBIT was $122 million with a 13.7% margin. For the full year, net sales reached $3.58 billion and adjusted EBIT was $510 million with a 14.2% margin. Adjusted free cash flow for the year was $403 million, once again demonstrating our disciplined execution and operational rigor. These strong results allowed us to stay firmly on track with our capital allocation framework, returning significant capital to shareholders and strengthening our balance sheet. In 2025, we voluntarily repaid $50 million of our term loan, repurchased $208 million of common stock and paid $52 million in dividends. As you will see later on, we plan for another year of strong execution for 2026, as we anticipate further share of demand gains, margin expansion and strong free cash flow. Sean will obviously provide additional details on our 2026 outlook later in the presentation. But for now, let me move to Slide 4. In 2025, we continued to strengthen our core business while accelerating our zero emission technologies. We secured a significant number of new light vehicle turbo awards driving our growing share of demand in gasoline VNT applications and increasing our traction in hybrid and range-extended electric vehicle platforms. These wins reinforce how our differentiated technologies remain central to efficiency and emissions reduction for our customers. We also won important awards in diesel applications for light commercial vehicle and trucks, where diesel remains highly valued for its lower emissions, fuel economy and high torque. And I want to pause on this point for a moment. Back in 2018, light vehicle diesel represented 41% of our revenue and many questioned whether Garrett could sustain its margin through the transition to gasoline. Today, gasoline accounts for over 44% of our sales, and diesel remains resilient at more than 23%. And as just mentioned, we delivered a 14.2% adjusted EBIT margin, once again demonstrating the strength of our business model grounded in technology leadership and operational excellence. Beyond light vehicles, we also secured numerous commercial vehicle awards across on-highway, off-highway and industrial applications. This momentum was further supported by our first series production awards for our largest turbo frame size, the MEG, as well as the first aftermarket sales for this product line as a retrofit option in the aftermarket space. Moving now to our Zero Emission and Industrial Technologies. In addition to the wins and progress we have announced in 2025, we made 2 announcements in February that are very significant when it comes to that part of our portfolio. First, we announced a series production award for mobility equaling compressors with a leading Chinese bus and truck HVAC supplier. Second, and even more important, we launched a strategic collaboration with Trane Technologies to integrate Garrett's next-generation oil-free, high-speed centrifugal compressors into Trane's commercial HVAC applications, from unitary rooftop and modular chillers to large capacity chillers, bringing the maturity, quality and scale of the products we have developed in the automotive industry into the industrial world and extensive testing in Trane's labs confirmed the clear performance benefit versus incumbent solution. Initial units from Trane will be available to select suppliers -- select customers already this year with broader series production across applications beginning in 2027. But let me spend a little bit more time on this cooling opportunity on Slide #5. We have developed an oil-free, high-speed centrifugal refrigerant compressor for HVAC applications by combining core Garrett technology, high-efficient turbomachinery, our unique oil-free foil bearings, high-speed electric motors, ultra-high frequency inverters and model-based control software. And importantly, all of this comes straight from our technologies we have already developed, validated and industrialized at automotive scale and quality. Our testing has shown that our technology can deliver more than 10% real world energy savings compared to incumbent solution. This allows HVAC operator to materially reduce the total cost of ownership and helps limit energy demand in power-intensive environments such as data centers. These benefits are even greater as customers move to ultra-low global warming potential refrigerants. Our E-Cooling compressor portfolio, introduced at the AHR HVAC Show in Las Vegas earlier this month, has already attracted strong interest from this industry. The product range spans from 7 to 500 tonnes or from 25 to 1,750 kilowatts of cooling capacity, enabling us to serve applications from rooftop and unitary system, battery energy storage cooling, computer in-room air conditioners to small and large chillers used in comfort cooling and hyperscale data center. These offerings leverage several of our key differentiated technology to address the fast-growing needs of a sector that will progressively shift to ultra-low global warming potential refrigerants. Industrial cooling represent a significant growth vector for Garrett and is expected to scale quickly to more than 5% of our revenue by the end of the decade as programs launch and ramp up. Taken together, these developments show how Garrett is executing, diversifying and expanding outside of the automotive industry, a deliberate part of our strategy. Cooling is now a tangible vector of growth on top of high-speed E-Powertrain, fuel cell compressors and alongside our core turbo business. With that, I'll turn over to Sean to discuss our Q4 and full year 2025 financial results in more details.
Sean Deason: Thanks, Olivier, and good morning, everyone. I will begin my remarks on Slide 6, where we talked about our quarterly financial trends. As Olivier highlighted, we delivered another year of strong financial performance in 2025. We finished Q4 with net sales of $891 million, driven by gasoline share demand gains and a slow recovery of commercial vehicle, partially offset by continued weakness in aftermarket. We delivered $122 million of adjusted EBIT, equating to a 13.7% margin. Adjusted EBIT in Q4 was down sequentially, driven by unfavorable product mix and onetime headwinds, but in line with our 2025 full-year outlook midpoint of $510 million. Finally, adjusted free cash flow was a very strong $139 million in the quarter, as the business continues to efficiently convert earnings into cash. Now, moving to Slide 7, we show our net sales bridge by vertical as compared with the prior periods. In the fourth quarter, net sales increased by $47 million versus the prior year or 6% on a reported basis and 1% on a constant currency basis, reflecting favorable foreign exchange currency impacts. We experienced growth in commercial vehicle in diesel. Gasoline volumes declined outside of Europe, particularly in Asia. For the full year of 2025, we experienced gasoline growth across most regions through a number of new launches and ramp-ups. Our commercial vehicle off-highway sales expanded as well across regions. These gains were partially offset by lower diesel, particularly in Europe, where the industry continued to decline. Aftermarket declines were driven by lower demand for off-highway applications, particularly in North America. And finally, during Q4 and the full year, we recovered $10 million and $40 million of tariffs, respectively. Turning to Slide 8. As mentioned earlier, during the quarter, we generated $122 million of adjusted EBIT and a margin of 13.7%, which was down 100 basis points. Q4 operating performance was in line with expectations, as we absorbed several onetime charges in addition to an unfavorable mix and a 20 basis point margin dilution due to tariffs. The unfavorable mix was driven mostly by growth in small engine light vehicle diesel, partially offset by growth in commercial vehicle applications across regions. For the full-year 2025, unfavorable mix was driven by increased light vehicle gasoline and softness in the aftermarket, mostly in North America, partially offset by increased commercial vehicle. Now turning to Slide 9. I'll walk you through the full year 2025 adjusted EBIT to adjusted free cash flow bridge. We delivered strong adjusted free cash flow of $403 million for the year. We had a slight working capital benefit, which reflects the very strong fourth quarter working capital recovery of $60 million. Capital expenditures came in slightly lower than anticipated due to timing, and cash taxes, depreciation and cash interest were all in line with our expectations. Taken all together, these strong results equate to a free cash flow conversion of nearly 80% in 2025. Now moving to Slide 10. We closed the year with strong liquidity of $807 million and a very healthy balance sheet. In Q4, we repaid $50 million of our term loan bringing our net leverage ratio to approximately 1.9x as of year-end. We continue to have no significant debt maturities until 2032. Moving to Slide 11. We continue to generate strong cash flow and return capital to shareholders. In the fourth quarter, we repurchased $72 million worth of shares for total repurchases of $208 million in 2025, reducing our share count at year-end to 190 million -- to 191 million shares outstanding. We also increased and paid a dividend in Q4 of $0.08 per share and authorized a $250 million share repurchase program for 2026. As of February 13, 2026, we had 189.97 million shares outstanding. Additionally, we just declared our Q1 2026 dividend for $0.08 per share. We continue to target distribution of approximately 75% of our adjusted free cash flow to shareholders over time through dividends and share repurchases, the latter of which will vary over time and will depend on various factors, including macroeconomic and industry conditions. I'll now turn to Slide 12 to discuss our 2026 outlook. At the midpoint, industry assumptions for this outlook can play a 2% decline of the global light vehicle industry, an average BEV penetration of 19% and a slight recovery in commercial vehicle, including on and off highway of 1.5%. The financial midpoints implied in this outlook are as follows: net sales of $3.7 billion, net income of $315 million, adjusted EBIT of $545 million, implying a 14.7% margin, net cash provided by operating activities of $455 million, and finally, adjusted free cash flow of $405 million. Capital expenditures and RD&E expenses are expected to be 2.5% and 4.2% of sales, respectively, in line with our financial framework. Approximately 50% of our RD&E will be directed towards zero-emission technologies and industrial cooling. Now turning to Slide 13. We show our 2026 midpoint outlook bridge for adjusted EBIT. For 2026, as discussed on the prior slide, our midpoint outlook is $545 million with a 14.7% implied margin, up 50 basis points compared to 2025. This adjusted EBITDA improvement is expected mostly from increased volumes and our continuous focus on operating performance and productivity, which offsets unfavorable pricing, net inflation and product mix. I'll now turn the call back to Olivier for closing remarks.
Olivier Rabiller: Thanks, Sean. Now, let's turn to Slide 14. Our strategic priorities remain clear and consistent. We aim to identify and deliver on our customer needs by leveraging our capabilities to develop differentiated, high-speed and highly efficient technologies. In doing so, we generate robust returns for our shareholders. Let me wrap this up on our final slide, Slide #15 with 3 takeaways. First, we delivered strong full year 2025 results in line with our guidance, including share of demand gains, margin expansion and strong cash flows. Second, our pipeline is expanding in turbo and accelerating in zero emission technologies and industrial applications. We secured our first production wins for our E-Powertrain and E-Cooling technologies, and we are now generating meaningful traction in power generation and E-Cooling technologies for industrial applications. Third, we remain disciplined in our capital allocation, investing in what wins and returning capital to shareholders. We are extremely well positioned to outperform in 2026 and beyond and look forward to welcoming you to our Investor Day planned for May 20 in New York, where we will provide additional updates on our long-term strategy and outlook. Thank you for your time. And operator, we are now ready for Q&A.
Operator: [Operator Instructions] And our first question today comes from James Mulholland from Deutsche Bank.
James Mulholland: So just some questions on the Trane partnership and the use of the high-speed compressor. Could you give us some sense of the economic opportunity here in the shorter term, understanding that it might get to 5% of sales in a few years? But what level of contribution would you expect in '27? And what kind of margins should we expect there? Will it be accretive at start of production? Or will there be a ramp-up? And is part of the CapEx this year going to be in preparation for that?
Olivier Rabiller: That's a great question, James. And you're giving me the opportunity to precise a few points there. Yes, it's a very significant opportunity. We are introducing a technology that is unique with the leader of that space and with the broad range of portfolio of applications from small cooling to much bigger cooling needs. This is something -- and quite frankly, the uniqueness is linked to what has already matured into the automotive space. So we are uniquely positioned to provide that to this industrial sector. So that's just something I wanted to remind everyone again. We see today that we will deliver the first application in 2026 with a number of customers, but the real ramp will come for 2027. Today, we are not giving you numbers on 2027. It will be the start, but the number we are giving you and that you picked up the 5% -- in excess of 5% of revenue by the end of the decade shows the magnitude and the speed of the ramp-up that will happen between now and then. In terms of CapEx, it's all included in our plan, and that's all taken into account in the 2.5% CapEx guidance that we gave for 2026. We are still applying to this new line of product the same discipline in CapEx spend for the new product lines. And there are a number of elements, as I was mentioning before, that are the same or leveraging the scale that we have on the automotive side. So that limits the CapEx that is just specific for that business pursuit.
James Mulholland: Great. Okay. And then quickly on my follow-up -- sorry, go ahead.
Olivier Rabiller: There is just 1 point I did not answer your question about margin. Yes, it is accretive.
James Mulholland: And so accretive on start of production essentially.
Olivier Rabiller: Yes.
James Mulholland: Okay. Great. And then on my follow-up, your largest competitor announced last week that it's going to be diversifying into power generation for data centers. Now, I think in the past, you've mentioned you would do about $100 million in sales for '25, and that should grow, I think, double digits this year. Outside of the HVAC opportunity, do you see other areas to increase exposure or use your tech stack to further penetrate that data center up and its growth outlook? Would you look to do inorganic acquisitions to tap into that further? Just your thoughts on that.
Olivier Rabiller: Well, we are very consistent with what we said about our technology for a long time saying that we will favor verticals that are valuing the technology that we put in our products. And obviously, when you get into commercial vehicle, on-highway, off-highway and even more in industrial space, these are the spaces that are valuing where customers are valuing the technology we bring. So it's true. We've developed -- we had already a position on genset. And today, the biggest part of the demand for genset -- big genset is data center-driven. And we've developed our range. We've developed a new range of products on top, and you may have seen that we just made a few important announcements showing that in a matter of a very short amount of time, we've been able to secure OE wins with these new products and even get into retrofitting some of the products that we are already into the marketplace. So we'll keep on pushing that range of product. And yes, we are seeing a very significant growth above and beyond the $100 million that we mentioned in Q3 2025. And we expect that growth, obviously, to amplify as we get into 2026. The cooling side is very interesting. We'll keep on obviously developing our position on the genset side, but the cooling side is very interesting. It's obviously a very dynamic industry, driven by the growth of cooling across many applications, and obviously, the data center piece. And once again, we have the right building blocks into the company that allow us to propose something that is not existing there. And the fact that a lot of equipment is being ordered give us the momentum into the marketplace to adopt our technology. So yes, overall, the only thing I could say is that, yes, it's very significant. It's probably growing a bit faster than what we had anticipated at the beginning, but extremely consistent with everything we've been saying for the last few years that we would reinforce on power generation and including leveraging the building blocks that we have in the company and that are differentiated versus what's existing out there.
Operator: Our next question comes from Ryan Brinkman from JPMorgan.
Ryan Brinkman: Maybe a similar one. I just wanted to ask, following the announcement of the strategic collaboration with Trane, how you would compare and contrast the relative opportunity of, on the one hand, supplying industrial charges for the stationary power gensets located outside of the data centers to provide energy for their operational cooling versus on the other hand this newer opportunity to participate in cooling itself. On [ Madden's ] call the other week announcing sale of the portion of their business that includes thermal management to the stationary power gensets that you discussed that while market for data center stationary power generation will start to grow very quickly. The market momentum of [indiscernible] centers was thought to grow quite a bit faster still. So how do you see these 2 markets growing? And how should we think about the relative margin or content opportunity or competitive edge for Garrett in these 2 different relatively related markets?
Olivier Rabiller: You were breaking quite a bit into the -- on the phone line. So I think, if I may, to rephrase your question that you were asking us to give a little bit of a comparison of the growth that we are seeing on the one hand with the power gen and the big turbo space, and on the other hand, the cooling, both of them being more directly or less directly liaise to the growth that we see on to the data space. Is it your question?
Ryan Brinkman: Yes.
Olivier Rabiller: So I would say it's difficult to compare. Both of them are growing fast. And you see that for the players that we are dealing with. On the one hand, it's Trane, obviously, that we talked about, but not only. And on the other hand, with the biggest customers we are having today and the big engines, and you know all the big names out there, whether they are in the U.S. or in Asia. So it's difficult to compare the 2. They are all driven by this. They are all driven, I would say, on the power gen side by other fundamentals that are not only directly linked to data centers when it comes to increased needs for power generation. There is a need for energy all around the world, and that is not only -- it's partly driven by data centers, but not only driven by that. And then on the cooling side, I would say not everything is driven by data center either. You have a lot of macros that are driving the demand. And also in that space, driving people to refresh the technologies that they are using because when we announced that with the equipment that we are putting on the marketplace with Trane we can save up to 10% energy compared to incumbent application. That's very significant when you combine the 2. Need for energy on the one hand. This is an underlying macro. And on the other hand, there is a need for cooling that is much more energy efficient, and this is where we play. So I think we are addressing very well those 2. I will not oppose the 2. I mean, quite frankly, when we say that, cooling we forecasted to be quickly above 5% of our revenue. And you know that the industrial world is not ramping up exactly at the speed of the automotive industry. That means a very quick ramp-up by industrial standard anyway. And we are seeing today a very quick ramp up as well on the industrial side for turbos. So we are very pleased with that. We are very pleased with the growth, and we'll keep on funding that with our disciplined approach so that we are successful with it.
Ryan Brinkman: Great. And I apologize for the connection. And just lastly from me, relative to the new light vehicle turbo awards in key geographies, including diesel for light commercial vehicles and hybrid gasoline applications, is the pace of new wins relatively consistent with your past observation recent years? You have been winning on the order of magnitude of roughly 1/2 of industry turbocharger awards. And given that your current revenue share of turbochargers might be closer to 1/6, what does this imply do you think for your future multiple market in light vehicle turbos?
Olivier Rabiller: So Ryan, we are very clear. We've been keeping on winning, and the way we measure that is we measure our business win rate, and we publish that once a year. It has been very consistent, above 50%, when you look at the last 5, 6 years. When we win at that level, it means that we are increasing our share of demand in the industry. And if you do the math, and I'm sure you're doing that very carefully, you will see that with the guide we have on revenue and the results we have on the revenue for 2025 versus what the industry is doing, we are obviously winning shares. And we'll keep on winning shares with what we have. The underlying drivers for that, what we explained in the past being a technology-driven consolidation, the industry needs a wide portfolio of technologies and advanced technologies, especially as we get to hybrid vehicles, where we need more viable geometry turbo, there we need more electric boosting solutions, and we are launching a number of those this year. And therefore, not everyone can provide that. And there is also another consolidation that has happened is that the carmakers and the truck-makers want to make sure that they work with players that are relevant today and will be relevant tomorrow as the industry keep on shifting towards more electrified solution. So I think we are well positioned on those 2, and that drives shares that is growing for the leaders of the industry. And there is absolutely no change. And when you look at our revenue guide, it's a good illustration of that.
Operator: Our next question comes from Jake Scholl from BNP.
Thomas Scholl: One more question on the train e-compressor win. Now that you've had a chance to see how the compressor performs as part of a total system, can you talk a little bit about the efficiency gains you're seeing, especially against competing oil-free compressors using magnetic foil technology instead of your -- I'm sorry, magnetic bearing technology instead of your foil bearings?
Olivier Rabiller: Well, a few things. I will not get into a lot of technical details today on this call, and I'm sure we can have a very deep detail on the technical discussion when we meet for the Investor Day in May. But what we see is that our solution first is proven at scale. I mean, the industry has been looking for the most effective and efficient solutions that are oil free. And today, we are having a lot of traction even from people that are using mag bearing towards our type of bearing. It's less difficult to control in other way. It's difficult for me to get in 5 minutes into why it is less difficult to control and the efficiency gains. But clearly, we have efficiency gains. We have controllability. We have maintenance. We have all of that, that plays in favor of our solution, both for where you have mag bearing that are the big stuff, but also where we are smaller compressors that are cell compressors and that are much less efficient from an energy standpoint.
Thomas Scholl: Got it. And then, I just wanted to double click on your SG&A cost savings this year. That's -- it's a pretty impressive number. Can you talk a little bit about where those are coming from? And do you see additional cost savings opportunities going forward?
Olivier Rabiller: Yes, but as we've always said, we are always working on the efficiency of the company. We are always leveraging everything we can to make the company faster, more nimble, more agile, more reactive. Today, we have a number of tools at our disposal, whether it's fine-tuning the organization, developing systems. And I would not get on the famous AI stuff that everybody is using, but we are obviously having an agenda to transform the company to make it even more efficient in the future. So we are pleased with the results we are having on SG&A. But in all fairness, because we like performance, we are looking for a step improvement versus that in the coming years.
Operator: Our next question comes from Nathan Jones from Stifel.
Nathan Jones: I've got one on the Trane partnership as well. You talked about 5% of sales by 2030. Can you confirm that's all coming from the Trane partnership? And then, is there any exclusivity in the product with them? Or are you able to market and sell this to other suppliers in other areas? And if so, can you just comment on what the overall addressable market might be for the products?
Olivier Rabiller: So first, we are very pleased to work with Trane, which are the leaders in terms of equipment, but they're also a technology leader in that industry and a company that is setting the trend. So for us, it's very important to work very closely together in the coming years, and we are very pleased with this agreement, obviously, because that's giving us very quickly the scale and the understanding of the marketplace. Quite frankly, in the long run, we'll keep on leveraging that partnership, and as opportunities are coming with other players and other segments of the cooling industry, we will certainly develop relationship with some other players. We had already a ton of people coming to us asking for questions at the show. I think I don't want to be too proud of it, but I think we had a turnout from the rest of the industry that we were not expecting.
Nathan Jones: So is it fair to say then that kind of by that 2030 target, the product is going to generate more than 5% of revenue. It's 5% of revenue with Trane, but there will be other opportunities as well.
Olivier Rabiller: There will be other opportunities by 2030 that go beyond Trane, that's for sure. And we are giving that as a view and that purely depends on the speed at which the industry is ramping up. That could be depending on the take of the industry that could go very, very quick and even potentially quicker.
Nathan Jones: I guess, my follow-up question is going to be on your other zero emission progress. You've had a number of predevelopment contracts ongoing for the last few years. Can you talk about that progress towards getting those to awards and plans for start of production on that? And then, is the $1 billion of revenue from all of these portfolio products still a target for 2030?
Olivier Rabiller: So clear, we are seeing a lot of -- it's not because we talk about Trane today that we're not seeing traction with the rest. We have an accelerated number of predevelopment programs that we are working on. Today, we are working on many more predevelopment programs than what we are doing a year ago to give you an idea, both passenger vehicle, commercial vehicle and industrial application. We've talked a lot this year about the award we got for E-powertrain for commercial vehicle, heavy duty. We will be in production already next year at this time. So it's not just a PowerPoint kind of discussion that we are having. We are talking production for heavy-duty electric axle 2027 -- beginning of 2027. And then from there, obviously, it's bringing interest about programs that we have not communicated about yet that are leveraging what we do on those vehicles to apply that to other vehicles. I'm talking about commercial vehicle space. On the passenger vehicle side, we are making very good progress now on the testing of our solutions. And we are confirming benefits of our solution versus incumbent solution in the industry, even greater than what we had seen and communicated initially. So now, it depends on the speed at which the decision-making is happening at our customers. But quite frankly, the benefits have been confirmed. And if anything, they are greater than what we are and our customers were expecting both in the passenger vehicle and in the commercial vehicle space. On the E-Cooling, we just confirmed the first few wings for E-Cooling for mobile application, same again. Obviously, it's not a surprise that we tend to win earlier in China because the industry tends to make decisions and move faster than in the rest of the world, we all know that. But at the same time, it's a very positive for us because it shows that we can win in the most competitive market you have out there. So we take it like we are moving at China speed on a lot of that stuff, and we are delivering the performance at the cost customers are willing to pay in the toughest industry around the world. So in all fairness, we have a long answer, yes, we are doing progress. And yes, I'm very pleased with it. More to come.
Operator: Our next question comes from Hamed Khorsand from BWS Financial.
Hamed Khorsand: First question was, could you just reconcile the 2 comments you made? And Sean, you said that you're expecting EBITDA margin to expand because unit volume would increase, but then you're giving guidance with the expectation that global units will be down this year. So are you -- where -- could you just reconcile that, please?
Olivier Rabiller: And maybe before Sean picked that up, the comment we made on the industry down is for the light vehicle industry. And in the light vehicle industry that is down, we are expecting to be up despite the growth of battery electric vehicle. So that means significant share of demand gains for Garrett. Do you want to comment, Sean?
Sean Deason: No, that was exactly what I was going to say, Olivier. And it's also, obviously, there's growth in commercial vehicle as well. So we're quite pleased with the guide. And of course, it's underlined by our strong productivity performance that we have demonstrated over the cycles, over various cycles, and we'll continue to do so in 2026 and going forward.
Hamed Khorsand: Okay. And then, you've reported that the commercial went up this quarter, and it looks like it's going to go up again in '26 in your forecast. Is that because of what's happening in off-highway? Or is that because of the commercial on-road aspect?
Olivier Rabiller: It's because of off-highway and specifically industrial turbos. So back to the question of one of your peer before, Hamed, we are seeing the growth on the industrial turbo side driven by genset.
Operator: And our next question comes from Eric Gregg from Four Tree Island Advisory.
Eric Gregg: First up, congratulations on a really strong Q4 and 2025 to the whole team there at Garrett. The first question, following up on the 2 -- to the caller or 2 people ago, but one is, is Trane exclusive? Or is it exclusive for a few years in commercial HVAC? And does that exclusively fall away after that? And then second of all, is that oil-free centrifugal commercial technology -- compressor technology? Is that going to be additive in HVAC to your $1 billion 2030 zero-emission sales target? Or is that -- given the zero emission vehicle penetration seems to have slowed a bit, is this just the way to kind of meet that $1 billion target that you laid out a year or 2 ago for 2030 zero emission revenues?
Olivier Rabiller: So first of all, just to clarify your point, we are not developing a new line of projects just to patch a weakness that we would have on the other side of the portfolio. We make decisions on the portfolio to go where we have differentiated technology and where we see growth moving forward. So it's not like we have one investment that comes at the expense of the other or the other way around. Yes, it's part of our ambition towards the $1 billion, and that's obviously counted as part of that. Now, we will update you on that during our next investor meeting, and we'll give you more clarity about the way it goes. But we are very pleased to have not only one driver that gets us there, but several drivers and are depending on different industries, which is the best option and the best way that we can strengthen towards our ambition. Then, your point, it observes that when you work with someone like Trane, you place a lot of eggs in the basket that helps you be successful on the marketplace. So at the beginning, it's true that we'll dedicate a lot of attention with Trane. But over time, that doesn't prevent us from developing ourselves with other players.
Operator: And with that, we'll be concluding today's question-and-answer session as well as today's presentation. We do thank you for joining. You may now disconnect your lines.